Operator: Good day, and thank you for standing by. Welcome to the Kratos Defense & Security Solutionsâ Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakersâ presentation, there will be a question-and-answer session.  And without further ado I would now like to hand the conference over Marie Mendoza, Vice President and General Counsel. Please go ahead.
Marie Mendoza: Thank you. Good afternoon everyone. Thank you for joining us for the Kratos Defense & Security Solutions second quarter 2022 conference call. With me today is Eric DeMarco, Kratosâ President and Chief Executive Officer; and Deanna Lund, Kratosâ Executive Vice President and Chief Financial Officer. Before we begin the substance of todayâs call, Iâd like everyone to please take note of the Safe Harbor paragraph that is included at the end of todayâs press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements we will make this afternoon. Please keep these uncertainties and risks in mind as we discuss future strategic initiatives, potential market opportunities, operational outlook and financial guidance during todayâs call. Todayâs call will also include a discussion of non-GAAP financial measures, as that term is defined in Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of todayâs press release, we have provided a reconciliation of these non-GAAP financial measures to the companyâs financial results prepared in accordance with GAAP. With that I will now turn the call over to Eric DeMarco.
Eric DeMarco: Thank you, Marie. Good afternoon. I believe todayâs report reflects the success of Kratosâ strategy to disrupt the National Security market space with first-to-market affordable, transformative technology, product systems and solutions. Since our last report to you, we have received each of the three large new space and satellite program contract awards we mentioned on the Q1 call, including the BlueHalo Space Force SCAR program and Intelsatâs next-generation satellite network. Each of which have now been disclosed by our customers. We have also received the third contract award I mentioned. It has not yet been publicly disclosed by the customer, therefore, we are unable to provide any additional information at this time, but we have received all three. The initial estimated total future potential value of these three new programs for Kratos is several hundreds of millions of dollars over the respective program periods. These new program awards that we have now received, which have a significant OpenSpace software component are key elements to Kratosâ expected fourth quarter ramp and EBITDA margin increase and also our future year expected financial organic growth rate that Iâll discuss later. Kratosâ first to market OpenSpace Platform is the only software-defined satellite ground system today. And this was key to Kratosâ receiving each of these three new large program awards. Kratos is the clear market leader in next generation satellite ground systems, which is an extremely large and rapidly growing market area. We believe that these recent program awards and our 1.7 to 1.0 Q2 book-to-bill ratio and our space satellite and cyber business is representative of Kratosâ OpenSpace software and technology disruption potential for Kratos to the multi-billion dollar total addressable satellite market space we are penetrating. We are currently in pursuit of several additional, new space in satellite program opportunities with our OpenSpace technology, certain of which we also hope to be successful on by the end of this year. We Kratosâ Space and Satellite business, which is our companyâs largest to be one of our fastest growing and highest margin businesses going forward as customer acceptance of our OpenSpace software based products increases. We will continue to invest significant internally funded R&D into our OpenSpace software product, family, and intellectual property in order to further Kratosâ position as the leader in what we see as a transformational large and growing market opportunity for our company. Since our last report to you we have had several successful flights with multiple Kratos tactical drones, including Valkyrie for the Skyborg program, and a number of Kratos Valkyries have now been delivered to and accepted by the customer. We now expect to receive additional Valkyries related contract awards in the second half of 2022, including a Valkyries related contract from a new service branch customer in Q4, which is a key element of our forecasted Q4 Unmanned Systems, revenue and profit contribution increase. Since our last report to you, it has been reported that the Air Force will be retiring the entire Global Hawk fleet of drones in order to free up funding for more survivable platforms and systems in a high-end conflict. On the Global Hawk retirement decision the Air Force reportedly said that in part, our ability to win future high-end conflicts requires accelerating investment in connected survivable platforms by divesting legacy ISR assets that offer limited capabilities against peer and near-peer threats. It was also recently reported that the USAF is planning the reduction and retirement of the JSTARS fleet as the aircraft is also not considered survivable in a high-end conflict. Since our last report to you, the Deputy Assistant Secretary of the Air Force for Science, Technology, and Engineering informed Congress, that the Skyborg Vanguard program, which Kratos Valkyrie and Mako tactical jet drones have been publicly acknowledged to be part of, will now become a program of record by the end of 2023, and will transition to acquisition. The Valkyrie was specifically designed to be survivable in a high-end fight with the Valkyrie having flown with both the stealthy F-22 and F-35 and the Valkyrie having a very attractive signature characteristic of its own at a cost level that allows the Valkyrie to be deployed in Affordable Mass. We believe that the world is now seeing that quantities or mass does matter, but the approximately 1,000 drones of all types reportedly lost thus far in the Ukraine, including jet drones. Emphasizing this belief that low cost and the delivery of Affordable Mass is now considered critical. The UK recently canceled its loyal wingman drone program Mosquito, reportedly due to high cost, a flying system still many years away and that the UK MoD has now determined that cost effectiveness is achievable through smaller, less costly, but still highly capable drones. We continue serial production of the initial 12 lot of Valkyrie. Certain of which as I mentioned earlier have now been delivered to an accepted by a customer. Based on discussions with the potential new service branch customer certain of the 12 Valkyrie still in productions, mission system configuration will be modified to meet a certain requirement. Based on recent interactions with additional potential new customers, we believe the fact that Kratos has active production lines for high performance jet powered drones, including Valkyrie, Mako, Air Wolf and others. All of which are flying today. These are not PowerPoints or simulated videos or concepts that reportedly will be ready three, five, seven years from now at some unknown price, is a key differentiator for Kratos. Kratos is ready now with active production lines and in place supply chain, flying aircraft and known price points. We believe that Kratos is being ready now positioning and affordability along with recent global geopolitical events, demonstrating that the threat is real and that quantities do matter in a high end conflict will be a catalyst for us. Additionally, over the past several weeks, it has become clear based on publicly available information and our meetings with customers that runway independence is an absolute critical requirement for affordable, reusable, disposable and attritable drones. Accordingly, our unmanned businesses resources will now primarily be focused on runway independent systems and area where Kratos is already the clear industry leader, having built hundreds of jet drone aircraft, all of which are runway independent. Related to runway independent, Kratosâ Ghost Works is now almost complete with what we believe is like new game changing capability in this area as specifically related to Kratosâ drones. Runway independent, we believe is also critical to the success of the Air Forceâs Agile Combat Employment or ACE program in the Pacific. As a result of these recent customer meetings, communications, events, et cetera, we are now planning to increase serial production. Weâre in the planning process of the Valkyrie beyond the initial 12 lot currently in production. Over the next 12 months, and I currently believe â excuse me, and then over the next few months, and I currently believe that by the end of this year, we will be making the decision to begin the next Valkyrie production lot and its size based on the increasing demand signals we are receiving from multiple sources. As Iâve mentioned previously, a significant amount of Kratosâ tactical drone work and initiatives are now classified CUI or confidential, and we cannot get ahead of our customers from a communications standpoint on certain programs, projects, or initiatives we may be working on, including as related to Valkyrie. However, Kratos is the clear industry leader in low cost, high performance jet power drones, and we remain highly confident in the future potential transformational success of Kratosâ tactical drone business for our company. Kratosâ target drone business where Kratos is also the clear industry leader once again is also well-positioned, including as a result of the Russian-Ukraine war, Asia-Pacific tensions, and the related global recapitalization of strategic weapon systems, which systems need to be exercised and tested against target drones. We continue to expect to receive an approximate $100 million sole source target drone IDIQ contract in Q4. And we are in pursuit of several other new U.S. and international target drone opportunities. Kratos is the primary target drone provider to the United States Air Force, Navy and Army, and U.S. allies want to exercise their respective weapon, radar and other systems against the same target drones that are used by the United States Military, which are Kratos drones. Kratos Turbine Technologies, and our engine business is also performing well. And since our last report to you, the Golden Horde Vanguard program was reported by the deputy assistant air force secretary to also now be on scheduled to be a program of record in 2023. We believe that the Golden Horde Vanguard program transitioning to a program of record is important to Kratos from a tactical drone, tactical empowered munition, and a propulsion system standpoint. Just last week, Kratos Turbine Technologies or KTT announced the $54 million sole source single award task order to develop a low cost limited life engine for attritable and expendable systems. Also in KTT, the new Rolls-Royce B-52 engine program we recently received is expected to begin ramping in Q3 of this year, as our several space propulsion system programs KTT is currently executing on. In our C5ISR business, the GBSD or Sentinel program with our outstanding prime partner Northrop Grumman is also beginning to ramp up in Q3 with an expected increase in Q4. We anticipate that GBSD will also be a key future year organic growth driver for Kratos. Our C5ISR business is also pursuing an additional, large, potential several hundred million dollar new program opportunity for Kratos where Kratos has now received a development contract. Kratosâ rocket systems business growth opportunities are also robust, including in the ballistic missile defense and hypersonic areas, which is receiving significant funding increases in the 2023 request and the fight up. We continue to progress on Kratosâ Zeus propulsion system with our strategic partner Aerojet and our Erinyes hypersonic vehicle system, including with our stakeholder customer partners and we are now expecting to receive a new large contract related to these systems by the end of this year. We believe that the extremely affordable Kratos Zeus and Erinyes hypersonic system will be disruptive and transformative, providing significant capabilities to our customers at a low cost. The SRE transaction closed in Q2 of this year, which further positions Kratos in the high priority and extremely well funded hypersonics area. Our microwave electronics business has virtually 100% of its Q3 and Q4 revenue forecast now in backlog and has a strong opportunity pipeline similar to virtually every other Kratos business. In our microwave business, we have now been informed by a customer and we have executed a letter of intent with the customer that we have been selected for a potential $250 million Kratos value program related to a C5ISR system. We expect Kratosâ microwave business to be under formal contract on this new opportunity by the end of this year, which will further position Kratosâ microwave electronics business for sustained future organic growth and margin expansion. In summary, Kratosâ positioned and well funded mission critical priority national security areas of the United States and our allies and the demand for Kratosâ systems, our products and our solutions has never been stronger and itâs increasing. Virtually, every Kratos business unit continues to forecast organic growth for 2022 in a very challenging environment, which is representative of the Kratosâ teams execution, assuming no future acquisitions we are currently forecasting a base case 2023 over 2022 year-over-year growth rate of approximately 10% with the possibility for an even substantially greater growth above this 10% base case, if certain opportunities in our tactical drone, space, satellite and cyber businesses come to fruition ahead of our base case expectation. The expected growth, of course, could move around a bit depending on the length of any future year, continuing resolution authorizations or government funding delays, but irrespective Kratosâ future organic growth trajectory is expected to be very strong. Operationally, supply chain issues remain a significant challenge and we now expect them to continue into 2023 with specific representative Kratos issues, including the procurement of FPGAs, aluminum antennas, and certain materials related to composites. Inflation across every cost point, including as related to materials and wages is also a challenge, which has gotten worse since our last report to you and which is impacting our Q3 margins on existing firm fixed price contracts and on price options as we cannot pass the increase costs onto our customers. We expect our margins to increase in Q4 as certain new contracts we have recently received have contemplated inflation and increased costs in them and as the mix of our revenue improves, including in our space and satellite business with open space software, as we realize increased leverage also on our fixed cost base and revenues increases. Hiring, obtaining and retaining personnel, including those with security clearances is also an operational challenge and we are having to increase compensation to both retain and obtain qualified personnel, which is also adversely impacting our near-term profit margins. Our forecasted execution plan and revenue growth includes the assumption that we will be able to increase our workforce to meet the production and delivery requirements of the contract awards that weâre executing on and that are included in our backlog. However, irrespective of these challenges, we believe that Kratosâ strategy of providing affordable technology for national security is spot on and that we have the right products at the right price at the right time to meet the U.S. and its allies national security priorities. Our plan remains to focus internally on organic growth and our 10% 2023 over 2022 base case growth rate and to successfully execute on our potentially transformational tactical drone, space and satellite opportunities. Deanna?
Deanna Lund: Thank you, Eric. Good afternoon. As we have included a detailed summary of the second quarter financial performance and financial guidance in the press release we published earlier today, I will focus on the highlights in my remarks today. Kratos reported second quarter 2022 revenues of $224.2 million above our estimated range of $205 million to $215 million, driven primarily by growth in our space, satellite and cyber and turbine technology businesses and do in part to the contribution from the recently closed SRE acquisition. Excluding the impact of the contribution from the CTT Cosmic AES and CRE â excuse me, SRE acquisitions, which contributed $21.5 million and excluding the impact of the reduction in our training solutions business of $8.6 million, revenues grew organically 3.2% as compared to the second quarter of 2021. Q2 2022 revenues continued to be impacted by continued and increased COVID related, supply chain and other delays, including obtaining and retaining qualified personnel resulting in approximately $14.5 million in revenues being deferred into future periods with approximately $2.9 million of associated operating income, including increased inflationary cost. Our Q2 2022 consolidated operating loss was $1.9 million compared to operating income of $3.3 million in the second quarter of 2021 with Q2 2022, including a litigation settlement charge of $5.5 million. Net loss was $4.7 million for the second quarter of 2022 and a GAAP loss of $0.04 per share compared to net income of $1.1 million in the second quarter of 2021 and GAAP EPS of $0.01 per share. Included in second quarter 2022 net loss is $5.5 million litigation settlement charge discussed previously. We generated adjusted EBITDA of $17.7 million for the second quarter, exceeding the higher end of our expected range of $11 million to $14 million, due primarily to a favorable mix in our space, satellite and cyber and turbine technologies businesses. Our Unmanned Systems segment reported revenues of $56.4 million in the second quarter of 2022 compared to $60.3 million in the second quarter of 2021. KGS reported revenues of $167.8 million in the second quarter of 2022 compared to $144.8 million in the second quarter of 2021 including contribution of $25.1 million from the recently acquired Cosmic AES, SRE and CTT acquisitions, offset partially by the training solutions business of $8.6 million, which included the loss of an international training services contract, which contributed revenue of $4.5 million in the second quarter of 2021. Despite the continued unfavorable impact resulting from supply chain, COVID and related delays and disruptions, which impacted current quarter revenues unfavorably by approximately $13.9 million on a pro forma basis excluding the impact of the training solutions business, KGS revenues grew organically 7.7% in the second quarter of 2022. Second quarter 2022 operating income and adjusted EBITDA for Unmanned Systems included a heavier mix of more development based revenues, which are typically lower in margin due to less leverage on fixed overhead manufacturing, SG&A and development infrastructure. Our Unmanned Systems business experienced an increase of $900,000 in SG&A primarily related to increased head count and $1.3 million of R&D in the second quarter of 2022, as compared to the second quarter of 2021. KGS operating income and adjusted EBITDA included a more favorable revenue mix, including software and license-based revenues. Q2 2022 cash flow from operations was a use of $21.6 million with the use including an increase of in receivables of approximately $27.1 million primarily related to future milestone in other contractual payments from customers and an increase in our inventory balances of approximately $10.5 million during the quarter, primarily in our Unmanned Systems, C5ISR, Satellite and Microwave Electronics businesses in anticipation of the ramps and production in the second half of the year and in part to secure additional safety stock and advanced buys in larger lot sizes to gain pricing benefits where possible, and to mitigate the impact of supply chain disruptions. In addition, operating cash flow also includes the continued planned investments in engineering costs in our Rocket System and Turbine Technologies businesses for new products and investments including the design and development of an affordable hypersonic vehicle Erinyes and a complimentary propulsion system Zeus. For the first six months of 2022, our operating cash flow uses included $15 million of increases in receivables and increases of $25.8 million in inventories across all of our product-based businesses including Unmanned Systems, Space & Satellite, Microwave Products and C5ISR. In addition, we have made approximately $5.6 million in investments in non-recurring engineering costs for these new rocket products during the first six months of 2022. Our contract mix for the quarter was 72% of revenues generated from fixed price contracts, 23% from cost plus fixed fee contracts, and 5% from time and materials contracts. Revenues generated from contracts with the U.S. federal government during the quarter were approximately 70% including revenues generated from contracts with the DoD, non-DoD federal government agencies and FMS contracts. In Q2 of 2022, we generated 12% of revenues from commercial customers and 18% from foreign customers. Now moving to financial guidance. Our third quarter 2022 financial guidance we provided today includes our current forecasted business mix, and our assumptions related to the expected continued impact of employee absenteeism, challenges related to obtaining and retaining qualified personnel, supply chain disruptions, inflation, and related expected costs and price increases and other COVID-19 related items that have are currently and expected to continue to impact the industry and Kratos. Throughout the first half of the year, Kratos experience a significant increase in the intensity and effects of COVID-19 and the related impact to our employees absenteeism, consultants, vendors, suppliers, customers, et cetera, which impact included loss of weeks of manufacturing and production functions in our Unmanned Systems, C5ISR and Microwave products businesses. We have assumed that these COVID-19 and supply chain related impact to our business including increased inflationary costs, which significantly impacted our first half 2022 operations will continue to impact the third quarter with an estimated impact of approximately $10 million to $14 million in third quarter revenues and $3 million to $5 million of our adjusted EBITDA. We are having some success with certain customers on building and cost and inflation escalators on new bids and new upcoming price options. And we expect to begin seeing certain benefit of these efforts in the fourth quarter of this year. However, since our contract mix is predominantly fixed price with certain of the contracts under longer period of performance terms, it will take some time to transition the contracts to those with increased pricing. As result of each of these pricing and inflation factors that we are contractually obligated to absorb and the continued delay of our ability to produce and deliver certain products with the most significant impact to our third quarter forecast, which we had originally expected to significantly improve. We are adjusting our Fiscal 2022 adjusted EBITDA to $80 million to $85 million with the most significant impact to the forecasted third quarter margins with improvements expected in the fourth quarter, based upon the projected ramp and new large programs, which includes more recent cost, leverage realize on the SG&A and overhead infrastructure and a more favorable revenue mix including more software based revenues driven largely by the three new open space programs that Eric mentioned earlier. We are forecasting increased revenues in the third and fourth quarters of this year with the trajectory increasing in the fourth quarter. We are also adjusting our revenue guidance up to $890 million to $930 million to reflect the expected contribution from the SRE acquisition, along with forecasted organic growth driven by our booking and backlog offset partially by continued revenue delays caused by supply chain disruptions. The growth expected in the fourth quarter of 2022 is largely driven by the forecasted execution and delivery schedules of five new programs, four of which have already been awarded, the three satellite program awards, GBSD, and an expected Valkyrie award from new customer. In order to maintain our Fiscal 2022 estimated use from free cash flow estimate of $30 million to $40 million. We have adjusted our FY 2022 capital expenditure plan to mitigate where possible the additional uses of working capital that we have expended this year to bolster our inventory levels and advanced inventory purchases. Eric?
Eric DeMarco: Excellent. Thank you, Deanna. Weâll turn it back over to the moderator for any questions.
Operator: Thank you.  Our first question comes from the line of Michael Ciarmoli of Truist Securities. Your line is now open, Michael.
Michael Ciarmoli: Hey good evening guys, thanks for taking the questions. Eric, just on the guidance, I guess two questions, for the current year youâve got this, this bigger fourth quarter, how are you contemplating or thinking about a continuing resolution and then even just in the, it seems pretty early to be talking about 2023, given the range of unknowns and supply chain and are you thinking it takes some time for supply chain to normal out and just I guess youâre calling that 10% of base case, but just maybe more thoughts on why throwing out that number now?
Eric DeMarco: Right, on the first one, Michael, we â our fourth quarter is substantially all in 2022 or prior year money. So weâre â thereâs very little thatâs on the 2023 in there very little. Okay. On putting out a number relative to next year, Deanna kind of sort of went through big, big drivers we have are Sentinel, which is under contract and weâve got the work plan laid out through at least 2023. The big space awards that weâve won are target drone production schedules, primarily with the Air Force and the Navy. Theyâre pretty much laid down out for the next 18 months. So we believe we have pretty good visibility and we understand the pricing and cost element in those, and as I went through, certain of those are new and so there have been inflationary factors built into them. So we feel â we feel pretty comfortable. The primary risk we have right now is hiring the people operationally, Mike, that is absolutely the high, the primary risk. Itâs not winning new business. Weâre winning a lot of business. Weâre going to win a lot more in the next few months that we know, but hiring these people particularly with security clearances, and not just engineers, manufacturing, people that have security clearances on some of these programs weâve won, thatâs where weâve got to stay focused to achieve the top line.
Michael Ciarmoli: Got it. Okay. Perfect. Thanks. Iâll jump back in the queue.
Eric DeMarco: Okay. Moderator?
Operator: Okay. Our â yes, our next question comes from Mike Crawford from B. Riley Securities. Go ahead Mike. Your line is open.
Mike Crawford: Thank you. Eric with the Skyborg looking near a lot become a program, a record in the next budget. What does that specifically mean for Valkyrie and what the ancillary to that is? What about these other myriad platforms that youâve been developing over the years ranging from Thanatos on down? Thanks.
Eric DeMarco: Right, right now, Mike, the primary focus of the customer set is on three platforms, and I believe itâs because theyâre mature and theyâve all been flying for a number of years. Itâs Valkyrie, Mako and Air Wolf that is where we are having the most significant activity with customers, and in particular the past couple of months, I believe, as I said in the prepared remarks, itâs in part maybe a big part being driven by whatâs going on in the Russian and Ukraine war. I saw this just this morning that the Russians alone now have lost over 800 drones, including lots and lots of jet drones. And as our established as the DoD, as I went through is retiring the Global Hawk for survivability reason, retiring J-Stars, youâve seen the discussion around the reaper) which is excellent asymmetric warfare, as we just saw recently. But survivability is not so much. My opinion is the customer focus on Valkyrie right now, Mako and Air Wolf is because theyâre flying. Theyâve proven. Theyâve exercised things; theyâve deployed things and where the focus is now. Thatâs where the money is.
Mike Crawford: Okay. And of course those are attributable expansible and disposable platform. So itâs good. You have the whole mix there, and I guess maybe Air Wolf being runway independent. Is that what gives it a leg up over say Gremlins?
Eric DeMarco: Yes. In my opinion, the Air Wolf is much more survivable even though itâs expendable than the Gremlins was designed to be the. The Air Wolf is an incredible high performance aircraft. It has very interesting characteristics on it, as far as identifying itâs even there versus the Gremlins was not designed for that mission. And thatâs why I believe survivability to get to the mission area, to exercise its mission; it has a legs up on the gremlins.
Mike Crawford: And then what about this down select on the On-Board Sensing Station onboard or your Demogorgon project?
Eric DeMarco: Yes So thatâs weâre in Phase 1 as is the other party and the down select or the move to Phase 2 is scheduled Q4. I think its October or November and so weâre heads down and weâre focused on that. As I did mention Mike in the prepared remarks though, Mike the nearer term opportunity for meaningful revenue and profit margin increases for our company right now is in Valkyrie, Mako and Air Wolf. And weâve all been patient; weâve waited a long-time weâre doing everything we can to pull some of these in now that that the geopolitical position has changed. Thatâs where our focus is primarily.
Mike Crawford: Just the last question on Unmanned Systems, so with the growth and the targets, and then these opportunities is your Oklahoma facility like highly underutilized now or thatâs one place you need to staff up or exactly how youâre going to go about this operationally?
Eric DeMarco: Yes. So that is absolutely an area where we are staffing up and we are staffing up. We need to staff up or looking at executing the next option to expand the facility once again. Weâre going to probably make that decision by the end of this year, similar to weâre going to make the decision. I donât think itâs going to be any later than the end of this year that weâre going to begin the next lot. Iâll call it lot number twos of the Valkyrie that all ties to together. But â and thatâs what weâre going to get leveraged on the margins going forward. Of course, as we continue to fill up that facility. And Mike itâs primarily Valkyrieâs and Air Wolfâs right now and one other program that we just havenât talked about.
Mike Crawford: Okay, thanks. And the final question, switching gears, just relaying the open space. So there â you have the software or virtual commercial platform, but there are others that have their own proprietary platforms that may be interoperable. Do you see those as alternatives for the customers youâre going after? Or those just customers that are kind of that youâre locked out from maybe assisting?
Eric DeMarco: Yes. If you could see me, Iâm smiling because thatâs â thatâs the exact dynamic weâre going after. But what you just mentioned is the legacy traditional model thatâs vendor lock that the operators like the U.S. Air Force and Intelsat, they canât stand it because theyâre vendor-locked into dedicated ground equipment for those satellites where open space is open and itâs open architecture and itâs software and the â as I think I talked about it on the last call, these new operators, these new constellations that have software defined satellites that are mega capable, this is Greenfield for us and that is our primary target opportunity market. We are not looking to this place anybody on an existing 20-year constellation; weâre going after the new stuff and thereâs a lot of them national security wise and commercially.
Mike Crawford: All right. Thank you, Eric.
Eric DeMarco: Yes.
Operator: Okay. Next up we have Ken Herbert from RBC Capital Markets. Ken, your line is live.
Ken Herbert: Yes. Hi, good afternoon Eric and Deanna.
Deanna Lund: Hi Ken.
Eric DeMarco: Hi Ken.
Ken Herbert: Hey, Eric, I just wanted to first start off with the wins on the open space, the three large programs and the contracts you called out, what is it considering the size of the opportunity there? What can you quantify what you expect to be sort of the revenue impact in the back half as they ramp or I guess more importantly, maybe in 2023 in particular? And how do they factor into the expected double-digit growth next year?
Deanna Lund: Ken, this is Deanna. So obviously weâre not giving any guidance on 2023 at this point. But the ramp in the second half we would expect a portion of that in the third quarter and then a more significant ramp in the fourth quarter. And remembers a lot of these are license-based so itâll be a much more favorable mix from a margin perspective.
Eric DeMarco: And Ken your question kind of dovetails into Mr. Ciarmoli question on why weâre given some, our initial thoughts on growth rate between 2022 and 2023.
Ken Herbert: Yes.
Eric DeMarco: With these contract wins, and those are bolted in, they give us a pretty â obviously they give us pretty good visibility into our Space and Satellite business, our companyâs largest in 2023, which is a layer of comfort of what weâre looking at next year.
Ken Herbert: Okay. Okay, no, thatâs helpful. And I guess considering the risks around not only this year, but next year, when you look at hiring, what operationally, Eric, what are you doing differently maybe now to try and accelerate that to the extent to which you can, I know youâre in obviously different parts of the country? But what levers do you have to pull besides just salary, perhaps as you look at addressing that issue? Because itâs an issue obviously across the industry.
Eric DeMarco: Yes.
Ken Herbert: And so it seems to be phenomenally competitive for talent right now. So, how can you maybe accelerate that or differentiate yourself there?
Eric DeMarco: Yes. And so itâs different in certain of our different business areas. So let me tell you what I mean. In our unmanned area, weâre finding it much easier to bring people in because they like the work, and itâs exciting and they get to work on a new airplane every couple or every three years. They are not like stuck on the B-2 Bomber for 30 years. Okay? So, thereâs that group and weâre having better success in that area. Weâre also having better success in the hypersonic area because thatâs exciting. Thatâs exciting work, itâs interesting stuff, there arenât very many people doing it, et cetera. In our C5ISR business, thatâs different. Also having better success in the hypersonic area because thatâs exciting. Thatâs exciting work, itâs interesting stuff, there arenât very many people doing it, et cetera. In our C5ISR business thatâs different. That is very challenging where you have these very skilled machinists that work on all types of exotic and unique materials to build weapon systems, and platforms. And thereâs an incredible demand for that in the industry right now as the entire industry is ramping up and doing the pivot away from the war on terrorists to protecting against the peer threats. Thatâs very difficult and that is money. And itâs trying to take people from other companies, if we can, through relationships, we have referral programs that weâre trying to â that weâve rolled out, weâre doing that. Weâve got mentorship programs that weâve rolled out. And Deanna, whatâs the name of the programs that the colleges weâveâ¦
Deanna Lund: Itâs both high school and college internships.
Eric DeMarco: Internships, where weâre training internship programs, but Ken, that is a challenging area, very challenging.
Ken Herbert: Got it. I appreciate that. And just maybe remind us what percent of your overall contract mix is revenue recognized on a percent complete basis, or maybe what could be the risk of incremental delays on those contracts based on your ability to get people in the door?
Deanna Lund: Yes. I donât have the percent complete as far as what the total percentage is, but our fixed price contracts are 72%. And I would say a substantial majority of those are on cost over cost percent complete. There is a portion thatâs on units delivered and thatâs primarily from an international contract perspective. So I would say the vast majority of that 72% is percent complete.
Ken Herbert: Perfect. All right, thanks, Deanna.
Deanna Lund: Sure. Thanks.
Operator: Okay. Next up, we have Josh Sullivan from The Benchmark Company. Josh, your line is live.
Josh Sullivan: Hey, good evening
Eric DeMarco: Good evening, sir.
Deanna Lund: Good evening.
Josh Sullivan: Just the lack of mill capacity for crate Kratos products and I think youâve mentioned carbon fiber and aluminum antennas issues as well. Whatâs the visibility on these issues? Are lead times improving? Are they still going out at this point? And then are you having any issues with smaller suppliers facing any financial viability issues?
Eric DeMarco: Yes. On the aluminum and castings, it has not improved at all for us. And you can imagine both aerospace and defense, the demand thatâs going on there. So, that is not good. On the composite side and certain resins in that area, Josh itâs become challenging. We are reaching out not only to the supply base, to other companies that do composite structures that we have great relationships with. And weâre having some luck with some of those that have the significant amount of inventory available. We just hit it with somebody company very well last week where we got some. So thatâs choppy. I donât expect that one to get worse, but itâs choppy. Josh, what was the third part of the question?
Josh Sullivan: Just, I mean, are you having any issues with smaller suppliers facing any financing issues?
Eric DeMarco: Knock on wood, we have not had any to date, but that is an area where our team routinely is doing the due diligence and the checks, the financial reviews of them routinely. And the corporate team here we go through that with the divisional teams monthly. So weâre trying to stay on top of it, we have not run into any issues to date.
Josh Sullivan: And then on the $50 million low-cost jet engine development contract, what are some of the timeline issues there â timelines and maybe milestones youâre looking for?
Eric DeMarco: Right. So the timeline, weâve already received the initial funding of several millions of dollars. So, weâre off and running. In my opinion, this effort here by the AFRL, itâs directly related to programs like Golden Horde and swarming munitions that need very small, low life, which means low cost turbo jet engines for missiles, and powered munitions and things like that. So weâre off and running with that. I expect that to ramp up between now and the end of the year, and then thatâs going to be a significant contributor next year. And Iâm not going to be surprised Josh, if we donât see more of those coming our way as a result of all of the new missile systems, weapon systems, powered munitions, drones that are on the drawing board that are coming online. Let me be specific on that. And Iâm just talking generally here. Youâve seen Lockheed Martin, theyâve talked about Speed Racer, as you know we are on that one. They have rolled out just a couple weeks ago, a whole new family of small aircraft theyâre planning on bringing out in the next few years. They announced that a couple weeks ago that is perfect ground for Kratos Turbine Technologies in our engine business. Northrop Grumman, they announced a couple weeks ago or a month ago that theyâve got â theyâre working on a jet-powered loitering munition that can get there very quickly. Thatâs another area thatâs right up the sweet spot of that contract and other efforts we have going. So, I see a lot of inertia in this area that ties into the thesis weâve been talking about for a while and today, quantities have a quality all their own and affordable mass. And thatâs where I think the requirements are heading.
Josh Sullivan: Got it. Thank you for the time.
Eric DeMarco: Okay.
Operator: Next up. Weâve got Austin Moeller from Canaccord Genuity. Austin you are live.
Austin Moeller: Good afternoon, Eric and Deanna.
Eric DeMarco: Good afternoon.
Deanna Lund: Good afternoon.
Eric DeMarco: Good afternoon, sir
Austin Moeller: So, my first question here, it looks like the Valkyrie is in the process of ramping here right now. So I assume you guys must feel pretty good about this. Youâve got multiple service branches that are looking at are committing to purchase the aircraft now. And the closest competitors, Boeingsâ best is way behind in development relative to Valkyrie and General Atomicsâ Gambit is even further behind them. And then the other proposed UCAVs that are sort of in development, a lot of them are flying wings, which is useless in air-to-air combat. So if we think about that next production lot, can you sort of talk about directionally how many we should expect quantity wise compared to the existing one?
Eric DeMarco: Yes, not yet, but over the next several weeks, and couple of months, we have a number of meetings scheduled with these potential customers and certain existing customers to talk exactly about this. Austin, if things go, as I currently see them, Iâm hopeful and I put the, the timeline out there by the end of the year, Iâm hopeful by the end of September, October, weâre going to have the data points and weâre going to have received certain things that are going to give us the confidence to pull the trigger, order the engines in the long leads and get going on the next lot. And to give you a data point on this Austin to kind of frame it for you. And these are by memory, so they may be off, but Austin, theyâre close. On the engines, we get price breaks on lots. And so like if we order six, we get a price break. If we go to 12, we get a price break. If we go to 18 or 24, we get an even bigger price break, which drives at lower. So itâs gone and probably be somewhere and Iâm â I donât use those numbers, but itâs going to be partially driven by the price break we get on the engines, which also gives us a quicker slot to get them. And so those are the dynamics that weâre thinking through with the customers and the perspective customers.
Austin Moeller: Okay. Thatâs helpful. And then if we think about all the inflation thatâs going on, should we still expect the Valkyries and I know itâs lock dependent, but do â should we expect them sort of around a $5 million price point or closer to $10 million? I know itâs still a step function below whatever the next competing drone is going to be priced at.
Eric DeMarco: Yes. Iâm glad you asked that a â that question. So as you know, the Air Forceâs definition of a attritable is $20 million on down, thatâs a fully missionized aircraft. The Marine Corps, as youâve probably seen, has been talking a lot about at attritable, et cetera, thereâs â their all in missionized price point is substantially less than that, okay. Iâm going to throw out $10 million fully missionized. We â because of our target drone business and the quantity that we produce, and as you know, our tactical drones, we use substantially the same composites, avionics, electronics, flight control, et cetera, et cetera, et cetera, weâre still getting leverage there and a lot of thatâs made in America. So the price increases there havenât been terrible yet. Weâre seeing them, but we â but they havenât been terrible yet. So I am very comfortable that we are going to be for the aircraft and the full mission systems. And I canât get into much more than what I just said on that. Weâre going to be well within those price points and mission systems can be $3 million, $6 million, $8 million. So we are beautifully positioned because of how low cost Iâll use the word the truck, our truck, our flying truck is. And as you alluded to, and my opinion, any of the other players, even if they ever do get anything flying, they canât practically get anywhere near us on price, on cost. They canât do it. Theyâre not designed to do it.
Austin Moeller: Okay. Thatâs very helpful. And then just one last if I could, I think you mentioned in your remarks or earlier commentary that the Air Wolf has a in a radar cross section that is considered to be interesting to the customer.
Eric DeMarco: I said that theyâre hard to identify is what I said. That thatâs the term I use and Iâll stick with it. Theyâre hard to see, very maneuverable, very hard to hit, thatâs what Iâll use.
Austin Moeller: Okay. Thanks for all the call, Eric. Appreciate it.
Eric DeMarco: Okay. Thanks.
Operator: Okay. Next up is Noah Poponak from Goldman Sachs. Noah, your line is open.
Noah Poponak: Hello, everyone.
Eric DeMarco: Hello.
Deanna Lund: Hi.
Noah Poponak: Eric, I guess, the key question is, why is 2023, the year that will prove to have had the visibility, the accurate visibility on growing double digits organically, relative to each of the past few years where, I think you came inside of the original guidance range. That was an official guidance range each of those years, but they were all described one or two years in advance as step function years or game changer years, or double-digit organic revenue growth years. How can we feel comfortable that this is different?
Eric DeMarco: Iâm glad. Noah, Iâm glad you asked that because I can clarify and add some meat to what I said. Our 10% base case growth that weâre looking year-over-year 2023 to 2022 does not include any significant production of tactical drones. I said â and so to clarify, it doesnât include it. And if things occur, thatâs where I said we could substantially beat it. But our base case does not include it. The base case is driven by â yes, our space business, target drones, GBSD, which has come online now. And we got that LOI on that, that, that microwave program, that $0.25 billion microwave program, weâre going to be under contract by the end of the year and it includes that, those are some of the biggies.
Noah Poponak: Okay. Thatâs helpful.
Eric DeMarco: Yes.
Noah Poponak: Within the guidance for this year, if I take the full year, and then I take the third quarter top line, it implies a sequential revenue growth rate, 4Q over 3Q thatâs significantly higher than you had any time in the recent past. Can you speak to what drives that?
Deanna Lund: Yes. Noah, this is Deanna. So those five programs that weâve highlighted, the three space satellite contracts, GBSD and the new customer that weâre expecting to book on Valkyrie those five contracts comprise about it over a $20 million sequential revenue increase from Q3 to Q4. So thatâs the lion share of the growth that weâre projecting for the fourth quarter over the third quarter.
Noah Poponak: Okay. Thatâs helpful. And Eric, on Valkyrie, why is a new customer kind of seemingly sliding in front of some of the older customers? And youâve highlighted in the past the budget dollars for the category of aircraft that have been in the few hundred million dollar range for a few years. Where is that money like it was that not really ever, just not ever obligated on the contract and how I square that, where those numbers were for a little while with the lack of orders and the revenue that youâve had on the program?
Eric DeMarco: I will tell you how I square it, when the Secretary of the Air Force, the new Secretary of the Air Force came in Mr. Kendall. He announced that late last year that he was rolling out two new classified drone programs. And the Secretary used the term that all of the other drone programs are virtually all of the other drone programs to date would be feeders into these two new programs. In my opinion, a significant amount of the funding on the other programs were feeders into those two new programs. I believe they sucked the air out of the room. Iâm not saying that in any way negatively, but as we saw at Farnborough three weeks ago, the Secretary has now canceled one of those two new drone programs, which was the loyal wingman for the B-21 bomber. And Iâm paraphrasing now saying that it would take too long. It would be too far out and they would be too expensive. So that might change again now, I donât know. So a lot clearly, Noah, as youâre pointing out here buddy is a lot has happened, is happening in the last six, eight months and really in the last four weeks.
Noah Poponak: Why? I mean, if they given their commentary about the desire to have this product, your ability to have it ready to go, is it just not needed imminently? So theyâd rather figure out exactly what they want to buy before they start buying larger quantities.
Eric DeMarco: So my opinion, what that last part of your statement is what has been going on for the last year or two. They truly wanted to assess and figure out exactly what they wanted, which I â it makes total sense. I totally get it. Things that have changedâ¦
Noah Poponak: Do they now know exactly what they want, I guess that is going toâ¦
Eric DeMarco: I donât know. I just â I will refer the group here to public statements. I mean there was an incredible interview with the Navy Admiral last week where he specifically talked about the Valkyrie and what that is going to be used for. I mean he talked about it. The four-star General of Pacific Air Force recently did an interview. And he said, the only â Iâm paraphrasing, the only way we can deter China is if I have hundreds or thousands of low cost affordable jet drones. This is just recently. So I donât know if theyâve decided, but I know what their narrative is and I know what has been specifically going on with our company, and weâre doing everything we can to respond to them.
Noah Poponak: Okay. I appreciate all that. Thanks. Thanks for taking the questions.
Eric DeMarco: Okay.
Operator: Okay. Next question comes from Sheila Kahyaoglu from Jefferies, LLC. Sheila, your line is open.
Sheila Kahyaoglu: Thanks so much. Good afternoon, guys. Just on Noahâs line of questioning, if we could think about it, Eric, you mentioned the customer potentially coming in, in Q4. How do we think about Valkyrie options into 2022? Is it contributing a $100 million? Does it go to $150 million in 2023? What are the range of options for Valkyrie?
Eric DeMarco: Yes. So Iâm going to be, as I talked about in the last fall one, before that Iâm going to be very, very conservative. Iâm going to assume. We continue to execute on RDT&E and S&T money and S&T funds. Iâm going to assume that we continue to do demonstration flights of different capabilities, carrying different payloads and different mission packages. And Iâm going to assume that we continue to sell or lease a handful or to a year. Thatâs one scenario. The upside scenario and the data points that support this could happen or the cancellations of all these other programs, the Mosquito has been canceled and take a look at one of our â some of our competitors have said recently, so the upside scenario is whatâs gone on in the Ukraine, Iâve talked about the losses of the drones, what weâre seeing going on over in the Taiwan Strait as we speak, that a decision is made to field affordable mass with the capability that we have today that we know is flying. And so we â next year or the year after, we get some significant production runs. Thatâs how I see it, but Iâm focused on the conservative ones.
Sheila Kahyaoglu: Okay. That sounds good. And then on your 10% baseline for next year, potentially, what are the top three growth drivers of that one, I would guess is GBSD. Maybe can you talk about what your top three are?
Eric DeMarco: Yes. GBSD â go ahead, Deanna.
Deanna Lund: Yes. GBSD, the continued ramp of the space programs.
Eric DeMarco: And there are a couple three of them.
Deanna Lund: Yes. Thereâs three of those and some of the production in our target drone business as well.
Sheila Kahyaoglu: Okay. And then last question from me, I think you mentioned supporting Rolls-Royce and their B-52 Re-Engining, whatâs your role on the contract and how do we think of timing of revenue there?
Eric DeMarco: Yes. I donât believe that theyâve â Rolls-Royce has disclosed what weâre doing. But let â so let me talk in general about what we do in that area. We are one of the industry leaders, if not the industry leader in building the ground rigs for jet engines for test and evaluation purposes, all types of testing, all types of evaluation. That is one of our expertise areas. We are an expertise area in the exotic materials that are used in all types of engines. That is another area where we are one of the industry leaders. And so those would be the types of areas that a company like Rolls would come to us on. And then on the second part of your question, as you know, we just received that initial contract. It is growing. Itâs expanding. I canât get into numbers, but itâs a big program for us. Itâs a big program. And itâs expected to begin ramping in Q4 and then itâll ramp in Q1, I think. And then itâs going to flatten out a little bit, because some of the big work weâre doing including materials is Q4, Q1.
Sheila Kahyaoglu: Okay, great. Thank you so much.
Eric DeMarco: Yes.
Operator: Okay. Next question comes from Peter Arment from Baird. Peter, your line is open.
Peter Arment: Thanks so much. Good afternoon, Eric and Deanna.
Eric DeMarco: Good afternoon.
Peter Arment: Hey, on the space business Deanna mentioned that a lot of itâs in licensing. And so thatâs obviously less of the top line story, better on the margin. What do we think about as the margin opportunity when weâre looking at space compared to what you report today?
Eric DeMarco: Yes. So our â itâll be different probably for government versus commercial, because there are certain limitations on the government side that there arenât on commercial. But our mid and long-term view is mid-teens profit margins for our space business. And the reason Iâm saying that is because, weâve gone â if weâre going to a more of a software model. So thereâs significant R&D and continued development on next versions. And I talked about that in my prepared remarks. In addition to that, let me just throw this piece in there. As you know, we build manufacture and deliver very sophisticated antenna, okay. Those antennas can have a lower margin than the software side. And the antennas business is very lumpy depending on the stage of the ground deployment for the base station weâre building. And so those can be mid-single-digits not even high single digits, mid-single-digits, because itâs a hardware type thing, and itâs really not all that unique. And so one quarter in the space business could be very, very high, but another quarter could be lower, because we delivered significant antennas in that one. So think of blended mid-teens.
Peter Arment: Okay. Thatâs helpful. And then just regarding your space business, just â itâs your largest business. How long do you expect it to be your largest business? Do you â ultimately, what Iâm asking is when do you think unmanned can kind of overtake it?
Eric DeMarco: In my conservative view, unmanned will not overtake space for the next several years, because our space business, Peter, itâs ripping. And we may have a tiger by the tail here. We are first to market with the total software based virtualized ground system, weâre two or three years ahead of everybody else. We â the first three big programs we went for, we won. As I said in my remarks, weâre lined up to win some more. And I think weâre going to â and Iâve gone through on previous calls on why this is such a big differentiator. So in the base case, the space business will continue to be the lead horse. In the upside case, the drone business in a couple of three years could pass it.
Peter Arment: Thatâs helpful. And just related to your drones, just any updates on  just we donât hear as much about that recently. So maybe if you could just give us your thoughts there. Thanks.
Eric DeMarco: Yes. So let me â Peter, I have to answer it this way. The most, if not all of the previous drone programs have become feeder programs into other programs that are all classified.
Peter Arment: Okay. I get it. Appreciate it, Eric.
Eric DeMarco: Yes.
Operator: Okay. And next up is Pete Skibitski from Alembic Global. Pete, your line is open.
Pete Skibitski: Hey, good afternoon guys.
Deanna Lund: Good afternoon.
Pete Skibitski: So guys you have pretty solid revenue in the quarter. I wanted to make sure I understood Deanna your comments about the reduction in the operating income guidance. Obviously, you had the $5.5 million charge in the quarter. Is the whole rest of the balance all due to inflation or were there any other, I donât know, negative EAC adjustments at all that impacted that guidance?
Deanna Lund: All due to inflation.
Pete Skibitski: All due to inflation, okay.
Eric DeMarco: Primarily in Q3, because weâre substantially firm fixed price contracts, and we canât pass it on in the existing contracts and the existing priced options. So we just â we eat it.
Pete Skibitski: And in terms of the recovery â the recovering that inflation through the contracts, obviously you have positive mix in the fourth quarter, but is it reasonable to assume that first half of 2023, youâd still be kind of in process of repricing your contract? So hopefully by the back half of 2023 is when you kind of make up all the inflation that weâre seeing this year.
Eric DeMarco: Yes. Yes, sir.
Pete Skibitski: Okay.
Eric DeMarco: Itâs a process as the existing contracts or options, which are typically one or two years priced transition off and the new negotiated ones or the new wins come in.
Pete Skibitski: Right. Okay. Okay. And then on the charge, the $5.5 million charge on the training program. Does that impact kind of the go forward revenue from that customer? I think it sounds like maybe international targets, any color you could provide there.
Deanna Lund: Yes. So we have not had any other work with that customer since the original contract of 2011. So it should not impact any future revenue streams.
Pete Skibitski: Obviously, you hadnât generated revenue there for a while on that one?
Deanna Lund: Thatâs correct.
Pete Skibitski: I see. Okay. Okay. Okay. Last one for me, Eric, on OpenSpace, I feel â youâre winning new contracts, but I feel like Iâve been hearing about development for a long time. So I just want to make sure I understood this. Is kind of the core development of OpenSpace completed or is there â do you kind of have to do some bespoke R&D every time you get a new customer. Is that how it works? Can you tell me kind of understand the business model there?
Eric DeMarco: Yes. So think of it like an operating system. Okay. So like on your Apple iPhone, the iOS system. So the operating system for space ground infrastructure is substantially complete, if not complete for the existing customers. R&D now think of the apps on the operating system. And so the apps and the space area think of like modems, theyâre all hardware right now. All the different types of communication modems that are not just related to satellites that are on drones or aircraft or ships, weâre turning them into software. And you can just think about what â instead of having a rack of all types of different modems or communication systems under drone, now you have just code, okay. So the R&D is for the â in my example here, is for the apps and think of it on the operating system, each customer is probably a little different. So thereâs some R&D, Iâm making this number up 10% or 15% to modify that operating system for that specific customer. But itâs substantially done as you can see with the program wins.
Pete Skibitski: Yes. Okay. Thatâs really helpful. Thanks guys.
Eric DeMarco: Yes.
Operator: Okay. At this time, Iâd like to turn it back to Eric DeMarco for closing comments.
Eric DeMarco: Great. Thank you all for joining us this afternoon and truly for the interest and the questions, weâll circle up with you at the end of Q3.
Operator: Okay. Thank you for your participation in todayâs conference. This concludes the program and you may disconnect.